Operator: Good morning. My name is Rex and I will be your conference Operator today.  At this time, I would like to welcome everyone to the Steelcase second quarter fiscal 2023 conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, simply press star, one again. Thank you. Mr. O’Meara, you may begin your conference.
Mike O’Meara: Thank you Rex. Good morning everyone. Thank you for joining us for the recap of our second quarter fiscal 2023 financial results. Here with me today are Sara Armbruster, our President and Chief Executive Officer, and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our second quarter earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted through ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release, and we are incorporating by reference into this conference call the text of our Safe Harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I will now turn the call over to our President and Chief Executive Officer, Sara Armbruster.
Sara Armbruster: Thanks Mike and good morning everyone. I’m pleased to share that our earnings this quarter were better than expected and we’ve delivered significantly higher order growth in the Americas than the rest of our industry over the past year. Our weigh rates remain strong and halfway through the year our financial results are on target. These results are due in part to the great work our teams are doing to implement pricing actions designed to combat the continued inflationary pressure our industry is experiencing, and I’m proud of the progress we’re making.  Dave will cover our results in more detail in a few minutes, but I’d like to spend my time today on two things: reinforcing our strategy and outlining our plans to lower planned spending in certain parts of our business. First, our strategy remains centered on work, and that includes leading the hybrid work transformation. We remain committed to helping people create places that work better because we believe people will continue to come together in person to imagine and to create and to achieve, even the patterns that shape where and how they work continue to change.  Our investments in innovation have led to new additions to the Steelcase portfolio such as our new architecture product, Everwall, and acquisitions like Orangebox, Viccarbe, and most recently Halcon demonstrate our commitment to leading the hybrid work transformation. We’re seeing early positives from the Halcon acquisition as our teams are responding to the strong sales activity in the professional services sector and we’re starting to realize cost benefits from our shared purchasing power. Partnerships with technology companies like Microsoft, Zoom, Creston and others, along with our own innovations, are also core to our strategy and investment mix as we help our customers solve for the hybrid transformation. We believe our strategy is working. Aside from the increased market share, as I mentioned a minute ago, our customer interactions indicate that we’re well positioned to be successful in our core business, which serves large leading organizations. There have been some very recently released data points which show an uptick in the return to office level in many cities in the U.S., but the reality is some companies have paused their investments as they define their own workplace strategies or weigh their choices in a volatile macroeconomic environment. The lagging return to office that so many companies are facing, primarily in the Americas, along with the possibility of a recession is likely contributing to slower decision making. We’ve begun to see the impact of that slowdown on our incoming order volume level in the Americas and we believe others in our industry are feeling that same downward pressure. Despite the positive trends I just mentioned, this last quarter our order volume was down 8% in our Americas core business, meaning our Americas segment excluding the recent acquisitions and our own dealers.  At the same time, inflationary pressures persist and remain significant. Supply chain disruptions also continue to impact our profitability. We’ve taken actions to address those challenges, but they’re still substantial factors. As we’ve been sharing with you over the past several quarters, we’ve been making trade-offs to mitigate the impacts of these headwinds, such as holding back on portions of our spending plans. For example, we’ve slowed our rate of planned spending increases in both the Americas and Asia Pacific, and we’ll continue to drive progress throughout every part of our business and region to enhance our profitability.  We’re also committed to sustaining investments in our future by right-sizing our core business in the Americas and corporate functions. This move will position us to organize more fully around our plan to reinvest for growth and to diversify our revenue while remaining more profitable at current levels of volume. We’re taking actions to reduce our planned spending levels, and this unfortunately will require a reduction in our current headcount. I also expect to communicate additional detail in the future regarding how we intend to evolve our operational model to drive greater efficiency and resiliency.  Even with these reductions in planned spending, we remain appropriately invested in our core business as we do believe companies will continue to look to Steelcase as they re-imagine their workplaces and invest in the hybrid solutions they need to grow and innovate. Our continued focus on investing to support growth through meeting the hybrid work transformation, appropriately scaling our core business and increasing our fitness complements the opportunities we see to add more diversity to the markets and customers we serve, and that’s another key element of our strategy. Our AMQ business is one example of how we’re already executing our focus to serve small and midsized customers. AMQ revenue grew 50% this quarter against the prior year by meeting the unique needs of this customer set. Over the past quarter, we’ve improved our speed of delivery through enhancements to our operational model and created an improved customer experience through new digital tools that will allow us to better reach and serve this segment. Our education business also continues to flourish. Smith System had the highest quarter revenue in its history this quarter, growing by more than 50% over the prior year. Finally, our retail business revenue grew 17% versus prior year, and we continue to allocate increased investments to this business to drive more significant growth.  One final area of our strategy that remains a key focus is our commitment to ESG. This quarter, we continued our series of global educational webinars for suppliers to encourage them to set science-based carbon targets aimed to consider sustainability improvements in the packaging of incoming parts. We also published our first chemical ingredients declare labels for two of our products to demonstrate our commitment to material health and transparency. In addition to that environmental progress, I am excited to share we’ve been recognized by Forbes twice as the one of America’s best employers for women and as a best employer for new graduates, and Steelcase was again honored by The Civic 50 as one of the most community-minded companies in the nation. This is our third year in a row on The Civic 50 list, and we’re pleased to be again named among so many other great organizations making a difference in their business and their communities. In closing, despite the economic hurdles facing our industry, I’m proud of the way we’ve navigated the challenges over these past 18 months. We’ve taken aggressive actions to achieve our targets during the first half of the year and we’re seeing success on multiple fronts as we execute our strategy. We’re making the necessary adjustments to prioritize our investments and right-size our business, and we believe that will lead to improved profitability and more diversified growth opportunities in the future. With that, I’ll turn it over to Dave to review the financial results and our outlook more deeply.
David Sylvester: Thank you Sara. Good morning everyone. My comments today will provide some color around our second quarter results, including comparisons to the outlook we provided in June. I will also cover the balance sheet and cash flow, our outlook for the third quarter, and our targets for the remainder of the fiscal year. Beginning with the comparison to the outlook we provided in June, second quarter revenue was slightly below the range while earnings were better than we expected. For revenue, we grew 20% organically compared to the prior year with double-digit growth across all segments. We estimate that pricing benefits represented approximately one-half of the growth.  Q2 order growth was below our expectations in the Americas and negatively impacted our revenue within the quarter. In addition, the euro continued to weaken against the U.S. dollar and resulted in approximately $5 million of additional unfavorable currency translation effects compared to our estimates. Despite our lower than expected revenue, our earnings for the second quarter exceeded the range we forecasted in June. Our better performance was driven by the Americas and included higher benefits from our pricing actions, a favorable inventory adjustment, and timing of some operating expenses. In addition, we recorded a non-operating gain on the sale of a remaining investment in an unconsolidated affiliate.  Inflation continues to be significant and over the last six quarters aggregates to $270 million, but for the first time since fiscal 2021, our year-over-year pricing benefits exceeded inflation this quarter. Over the coming quarters, we expect inflationary pressures to remain but we anticipate the benefits from our pricing actions, including the surcharge, will continue to accumulate and more fully offset the cumulative inflationary costs we’ve incurred.  EMEA posted an operating loss of $6.8 million in the quarter, which was below our expectations. Revenue was impacted by project slippages and our operating results were also impacted by accelerating inflation and some inefficiencies in our operations. In response to the higher inflation, EMEA announced a 5% price increase in September that will be effective in October. As it relates to cash flow and the balance sheet, we ended the quarter with $52 million in cash and $214 million in total liquidity. We deployed approximately $220 million of cash in the second quarter which was funded by $61 million of adjusted EBITDA in the quarter, a $64 million reduction in cash balances, $79 million of net borrowings under our credit facility, and $8 million of proceeds from the sale of our remaining investment in an unconsolidated affiliate. The uses of cash included the acquisition of Halcon for $105 million, which was net of adjustments related to customer deposits and working capital.  Beyond Halcon, working capital increased by $69 million, driven by receivables and the sequential revenue growth in Q2. We also funded capital expenditures of $15 million, dividends of $17 million, and our semi-annual bond interest of $12 million. We are now expecting capital expenditures to total between $50 million and $60 million for the full year.  Moving to orders, we saw second quarter order growth of 5% as compared to the prior year, which was driven by 7% growth in the Americas and 4% growth in EMEA. In the Americas, pricing drove approximately 14% growth, which more than offset an estimated decline in volume of approximately 7%. In EMEA, the order increase was also driven by pricing with volume being flat versus prior year. The 8% decline in the other category, which was also a combination of pricing and volume, was driven by Asia Pacific, which experienced weakness across all markets except India. Presales activity remains positive, as does general near term sentiment from many of our sales leaders and dealers. Recent opportunity creation in most markets was higher compared to prior year. Our win rates in the Americas were strong in Q2 and customer visits to Grand Rapids are almost fully booked through the end of the calendar year; however, orders in our Americas core business seemed to reflect as softening in demand patterns in the second quarter compared to the last several quarters, and this appears consistent with the latest industry data published by BIFMA for June and July.  In addition, during the first three weeks of September our orders have declined by approximately 20% versus the prior year. It’s possible the slowdown--sorry, it’s possible the slow return to office trend in the U.S. could be having an impact. It’s also possible that reduced CEO confidence is impacting capital spending in our sector. Decision makers have a lot to deal with at the moment, and they’re also facing a lot of near term uncertainty.  Inflation and supply chain disruptions are impacting almost every industry, labor challenges are impacting productivity on many fronts, rising interest rates are pressuring the outlook for GDP growth, and the geopolitical unrest remains concerning. As a result, we are planning to implement additional actions in the third quarter which target further reduction of our planned level of spending. These actions target approximately $20 million of annualized spending and are expected to include the elimination of up to 180 salaried positions across the Americas core business and corporate functions. These reductions approximate 8% of the related salaried workforce and will bring the cumulative reduction compared to pre-pandemic levels in fiscal ’20 to approximately 20%. We expect most of these reductions will be implemented during the third quarter and result in restructuring costs of approximately $8 million.  These actions, along with some re-prioritization of our remaining resources will help us remain invested in our most important strategic initiatives and provide some additional protection in the event of continued uncertainty and impact on our demand environment. In light of these trends, we also adjusted our dividend this quarter in order to strengthen our liquidity profile and support a higher allocation of capital to reinvestments in the business in pursuit of our longer term strategy.  Moving to the outlook, consolidated backlog of approximately $946 million at the end of the second quarter was 38% higher than prior year and continued to include a higher than normal percentage of orders expected to ship beyond the next quarter. As a result, we expect to report revenue within the range of $825 million to $850 million, which represents year-over-year organic growth of 12% to 15% and includes 10% driven by pricing. Excluding restructuring costs and amortization of purchased intangible assets, we expect to report adjusted earnings per share of between $0.17 to $0.21 for the third quarter. In addition to the projected range of revenue, the earnings estimate reflects the following projections. We expect gross margin of between 29.0% to 29.5% driven by pricing benefits net of inflation of approximately $55 million when compared to the prior year, sequentially unfavorable business mix due to the summer strength of Smith System, and lower manufacturing efficiency due to decreased production volumes in the third quarter.  We also expect operating expenses of $215 million to $220 million, which includes $7 million of amortization expense related to purchased intangible assets and an expected $7 million gain on the sale of an under-utilized facility and adjacent land, as well as some prioritized investments in marketing and product development, higher spending in a few corporate functions, and continued investments in our employees. Lastly, we expect interest expense in other non-operating items to net to approximately $5 million of expense and we are projecting an effective tax rate of approximately 27%.  For the fourth quarter, depending on the level of volume, we expect sequentially improved gross margin due to accumulating benefits from our pricing actions and operating expenses of between $215 million to $220 million. We continue to work towards our full year targets, but given the uncertainty in the demand environment, we are not able to provide an update regarding the achievability of our targets at this time. In summary, we’re doing everything we can to drive profitability while protecting our investments in our most important strategic initiatives. Fiscal ’23 has been an extraordinary challenge, and that’s saying a lot following the initial impact of the pandemic in fiscal ’21 and the beginning of supply chain disruptions and accelerating inflation in fiscal ’22, but we’re managing through it and we’re gaining share while continuing to invest in our longer term strategy. From there, I’ll turn it over for questions.
Operator: [Operator instructions] Your first question comes from the line of Reuben Garner. Your line is open.
Reuben Garner: Thank you. Good morning everybody. 
Sara Armbruster: Good morning.
Reuben Garner: Maybe if we could start with maybe elaborating on the thought process on the cuts to both some corporate headcount, as well as the dividend. It sounds like some of the--you’ve got mixed signals, some of the pipeline activity remains robust but recently demand trends are not where you want them to be. Can you walk us through how you came to the decision to make those or take those actions? Is there any risk that some of the order weakness is more driven by pull forward with your pricing actions mid, late summer, and will you be able to handle a ramp back up if this was a temporary slowdown, for whatever reason?
David Sylvester: Well, you’ve got a lot of questions in that single question there, Reuben, so let me try to break it down. If you refer back to March when we communicated our targets for the fiscal year and the revenue growth that we were pursuing, an underlying assumption was continuing improvement in our overall order patterns, and we believed that would be linked to a continued improvement in return to office and increased demand to support the hybrid transformation of work, and that’s played out. It has been improving - we’ve seen improved demand, but it’s not tracking at the level that we originally planned. What we see right now is increased uncertainty on the horizon - I mean, it’s no secret that there are dark clouds related to the economy and other factors, and therefore we felt it was prudent to take some action.  Now, I will tell you that we spent a lot of time balancing the level of action we should take because we are gaining market share, and we do see clients continuing to move towards returning to the office and making investments, so we did not want to jeopardize our ability to continue to gain market share but we felt it appropriate to adjust, given that it wasn’t playing out as we had initially planned.
Reuben Garner: Okay. Then my next question, I’ll try to be a little bit more concise, but the price-cost tailwinds that you’ve got for the remainder of the year, can you talk about where price-cost stands today relative to pre-pandemic levels - you know, how far behind are you still in catching up from some of the inflation, and then what kind of risk is there on the pricing front if there is this volume--or if this slowdown in volume continues through the back half of the year, what kind of competitive risk to pricing and bids do you see, that could kind of put that gross margin trajectory at risk?
David Sylvester: Maybe Mike can handle the first part and I’ll comment on the second part.
Mike O’Meara: Sure, sure. Reuben, obviously inflation has been extraordinary, and as of now there’s really no signs of any relief on the inflationary front, so we quantified so far we’ve cumulatively experienced $270 million of inflationary costs over the last six quarters, which is really when this all started to ramp up. Our pricing actions obviously take time to become implemented, and so we’ve started to make a dent in that but we’re still quite a bit in the hole. Over the next few quarters, we should, because of the timing assuming inflation levels, which is sort of our best estimate at this point, we would expect to start to offset that more fully; but even in another couple quarters, we’ll still be behind cumulatively, even though we’ll start to post some good year-over-year tailwind improvement, so we’re going to--we need to continue the pricing actions in order to kind of make up for the hole we’re in, even though we’ll start to see some benefits on a year-over-year basis.
David Sylvester: Yes Reuben, and on the second part of your question related to the competitive dynamics in a lower volume scenario, I would just remind you that we are in a lower volume scenario today. The industry has not recovered to pre-pandemic levels of volume; in fact, we’re still significantly behind, and yet the industry overall, the dynamics of competitiveness have remained, I would say, reasonable. I think that’s largely driven by the fact that we’re all dealing with the same levels of inflationary pressures. We often are working with the same suppliers and our products have the same material content, so I imagine everyone is feeling the same pressure that we’re feeling and we’ll see what happens in the future. But so far, it’s remained like it has in the past - a competitive environment, but not an unreasonably competitive environment. 
Reuben Garner: Okay, thanks. Last one from me, Sara, there’s a comment in the release that mentions your strategy is unchanged, but you talk about diversification. I was wondering if you could kind of elaborate on what that might mean going forward. 
Sara Armbruster: Sure, happy to. You’re correct - we have not shifted our strategy, but remember our strategy, as we’ve communicated, has had a couple of components to it. One of those certainly is to continue to focus on leading the hybrid work transformation, so this is our core business with your typical big corporate customer which is so important to us, and we’ve been successful. As Dave mentioned, we’ve got nice win rates, we’re gaining share, so we will continue to invest in that hybrid work transformation for those typical corporate customers. But I think the diversification is an acknowledgment of the fact that we’ve also seen really nice traction and growth and we’ve been investing and will continue to invest in other opportunities, whether that be healthcare, whether that be the mid-market business model that we’re building around AMQ or things like consumer or retail or healthcare. Those are the parts of our business that we want to make sure we continue to invest in and we continue to grow, because we see some really nice market opportunities and really great potential to grow, and we believe that we can continue to bring the kinds of solutions to market that will allow us to be successful.  I would say we’re doing both, and we want to make sure we take a balanced approach both to continuing to focus on our core corporate market, but also make sure that we are explicitly investing in and supporting these other areas that will allow us in total to have a more diversified set of markets and customers that we serve.
Reuben Garner: And Sara, I know I said last question, but if I could quickly follow-up, are those organic investments? I mean, with the cuts that you’re making, are you also reallocating resources or is this potential for M&A in some of these areas? How are you doing it?
Sara Armbruster: Well, I think certainly you’ve seen historically that those have been areas that, in some cases, we’ve used M&A to drive, like the acquisition of Smith System to really expand our education business, so I think we’ve always said that acquisitions, when it’s the right opportunity and we think it fits our strategy, that is part of what we look at, so there may certainly be things like that again in the future. But you’re also right to mention reallocation of resources, you know, where we see growth, where we see big market opportunity, where we see a lot of nice tailwinds in terms of market opportunities are in some of those other segments, so where we have the ability to increase investment relatively speaking or shift resources that might be working in the core business to help accelerate some of our initiatives in those other areas, we’re pursuing those opportunities as well. 
Reuben Garner: Great, thanks guys. Good luck going forward.
David Sylvester: Thanks Reuben.
Operator: Your next question comes from the line of Bud Bugatch. Your line is open.
Bud Bugatch: Good morning. Accept my congratulations on managing the profitability and the work that you’ve done that - I know these are very challenging times.  I do want to go back - David, you used a phrase on the visits of, call it fully booked for the balance of the year for visits to Grand Rapids. I’m curious, though, can you give us maybe a little bit more color on that activity in terms of how that compares to last year or maybe several other quarters that you had, sequentially, to give us some feel for what you’re seeing in terms of the sales activity? I know the order activity is modestly disappointing, at least during the first three weeks of this quarter. 
David Sylvester: It’s actually at or above FY20 levels. We are--I mean, we’re essentially fully booked, and at the end of FY20 we were pretty full but not entirely full, and we are squeezing in a lot of even shorter day trips to accommodate customer requests to come see us. Right now, if you wanted to come to Grand Rapids, we would either have to bump somebody--before the end of the calendar year, we would either have to bump somebody or hope for a cancellation, and we’re just not seeing a lot of that, so the interest level and the activity level remains quite high.
Bud Bugatch: Can you give us some color as to the kind of customer you’re seeing? Are these traditional Steelcase customers, are they Fortune 1000s? Do they reflect the diversification effort that Sara highlighted in the written language and a few moments ago in terms of the markets you’re trying to serve?
Sara Armbruster: Yes, we’ve actually been really pleased with the diversity of the kinds of customers that have come to visit, and I should mention as well that we have not changed our criteria or our threshold in terms of who we want to welcome as guests to the organization, so we’ve been able to see some really, I think really exciting clients with really exciting opportunities. Just the other day, we had a group that I spent some time with that represented a parochial K-12 school district that was looking to make big investments to transform learning across their facilities, and they were a terrific group. But we’re also seeing big Fortune 1000 kinds of clients, we’re seeing a lot of mid-market activity. We’ve actually recently invested in more of a mid-market showroom and some new tools here on campus to help support those customers if they choose to make a visit. Many don’t, but for those who do, we want to be able to show them what’s possible and help them think about their workspaces. We really have seen a pretty diverse mix of customers, as well as, I would say, a number of customers and customer visits who aren’t customers yet, so clients we haven’t worked with in the past but who are maybe thinking differently or asking new kinds of questions since the pandemic and are excited to talk to Steelcase and explore the possibilities, where maybe they haven’t in the past, so it’s been quite a mix.
Bud Bugatch: If I could just finish on that particular issue, the sales cycle for these new diversification markets, I know there are various extended sales cycles for some of the markets that you serve, but how do you look at that? I know it’s a fuzzy question, but I think it’s an important one to get an idea of how soon we could expect maybe some of those diversification efforts to wind up in orders and wind up in sales and shipments.
Sara Armbruster: Well, maybe I’ll start with a thought on that, and maybe Dave or Mike can chime in and add more. I think one of the things that we’ve really tried to acknowledge as we’ve invested in these different markets is to make sure we clearly have an understanding of what the dynamics and the nature of those markets are. For example, that mid-market that we’re pursuing with our investments in AMQ, that type of customer is typically a customer who wants the process to be quick and simple, so this is the kind of customer who might call and say, look, I need 20 chairs and 20 desks and I want them in two weeks, right, so very different sales cycle and dynamic that is much faster on average than you might see for a Fortune 1000 kind of company operating in a very different way. A lot of our investments have been driven at just that, to say how can we make sure we can respond and we can drive a faster sales cycle for the kinds of customers who want to move quickly, and likewise for the customers who are more deliberative and who are planning a much more significant project or new construction, where the process naturally might take longer, we of course know how to support them as well, so we’re really trying to be conscious of those differences and design what we’re doing to support them. 
Bud Bugatch: Okay. On the first three weeks of this quarter, is there any more color you can give us? Does it reflect geographical disparities? I know the RTO issue, the return-to-office issue is one that’s confusing a lot of people these days and the subject of a lot of conversation and written ink in all the media, but when you’re looking at that order comparison, is there color as to what the source of that weakness might be?
Sara Armbruster: Maybe I’ll start that answer with a qualitative comment and then we can try to answer that with maybe some quantitative data as well.  You know, it’s interesting that you ask that question because last week and this week, between the two weeks, we’ve had all of our American dealers here in Grand Rapids to reconnect in person and to talk about new products, new opportunities, really come together to work as a team on how we solve these opportunities, and I really try to kind of push on that as I anecdotally talk to our dealers from all over the Americas, so every part of the U.S. plus Latin America, Canada, etc. I would say overall the sentiment was quite positive. It was really hard to kind of poke on dealers from a particular part of the country or a particular region that expressed sentiment that was quite different. While we know that geographically you see different dynamics, perhaps, in big cities than you might in rural America, at least qualitatively as I spent the last few weeks with our dealers, there was a lot of positivity. Certainly questions about a potential recession, certainly questions about some of the day-to-day challenges we all face, but it was hard to discern a geographic difference in those conversations.
David Sylvester: Yes, and I’m always hesitant to draw any conclusions from three weeks of order patterns - it’s a pretty short period of time, and it is still--you know, it’s at the longer end of the tail following our significant price increase and surcharge that we put into effect in the middle of July. But there could be some impact that’s continuing to linger, it’s just really hard to tell; but because it was down 20% and because we saw a unit volume decline in our order patterns in Q2 in total in the Americas core business, we felt it was important to share that information with you.
Bud Bugatch: I understand, and we thank you for that. The $55 million guided benefit of price over cost, can you give us what you think the pieces of that would be in terms of incremental inflation and incremental price realization? 
Mike O’Meara: Yes Bud, it’s about $75 million of pricing and about $20 million of inflation on a year-over-year basis versus the third quarter last year.
Bud Bugatch: So that $75 million includes the effect of the 6% surcharge, effective surcharge, is that right? Because that’s better than we saw in the second quarter, right? 
Mike O’Meara: That’s correct, yes. It’s the July price increase becoming more fully implemented and the surcharge.
Bud Bugatch: How do you think that breaks out for the rest of the year, then, and how long will it take to recover the 270 or the cumulative inflation, that will be more than 270 by the time you cover it?
Mike O’Meara: Yes, so depending on volume, the fourth quarter could be a little higher because those things will continue to become more implemented. We don’t have a full view on how long it will take us recover the 270, but we’ll still be behind as of the end of the fourth quarter. 
David Sylvester: Yes, it’s likely into next year. 
Bud Bugatch: Okay. The $20 million spending that reflects the up to 180 positions that you’re going to be cutting, is that an annual savings, David? You used the phrase, spending.
David Sylvester: It’s a targeted annual savings of $20 million, which could include up to 180 salaried positions that are eliminated.
Bud Bugatch: And are those salaried positions between core and Americas? How does that break out between those two?
David Sylvester: It’s the Americas kind of core business and corporate functions, so by core business I mean not Smith System, not AMQ, not ecommerce, it’s kind of the large company, large city core business of Steelcase, and--
Bud Bugatch: And corporate, how does that break out, corporate function versus Americas?
David Sylvester: I don’t know that I have that breakdown. A large part of corporate is allocated to the Americas anyway, but as far as the corporate functions, it includes all of the corporate functions of HR, IT, operations, finance, facilities, etc.
Bud Bugatch: Okay. Sara said that you are all pleased with Halcon. You’ve owned it since early June. How is that performing versus your expectations financially?
David Sylvester: So far, so good. They’re dealing with what we’re dealing with - supply chain disruption and inflation, and they’re working through a significant backlog that we acquired. There is a tremendous amount of enthusiasm and excitement about them joining the Steelcase family - our dealers are excited about it, the sales organization feels good about it, we’ve received positive feedback from A&D as well, so we’re feeling very good out of the gate about the acquisition of Halcon.
Bud Bugatch: Okay, and if I heard you right, you said the operating expense expectation for the fourth quarter is the same as it is for the third quarter, is that correct - 215 to 220? I might have heard that wrong.
David Sylvester: Yes, I think that’s right. We just don’t--I don’t have another projected gain on a facility sale for the fourth quarter. 
Bud Bugatch: So that will include the amortization of the $7 million--
David Sylvester: Yes.
Bud Bugatch: so what--and it should include some of the reduction on the operating expense, right, from the restructuring effect?
David Sylvester: Yes.
Bud Bugatch: So I’m just curious as to what additional--[indiscernible] additional cost. 
David Sylvester: Essentially we’re replacing--the land gain that we have in Q3, we’re replacing in Q4 with the benefits associated with the reductions. 
Bud Bugatch: Okay, all right. The debt is up higher because of the acquisition of Halcon, and what is the debt to trailing adjusted EBITDA? What’s that metric as for your debt coverage?
David Sylvester: It’s in between 2 and 3x. Our trailing adjusted EBITDA, our trailing four-quarter metric is about $150 million, $160 million, and our total debt is in the $550 million range right now. We borrowed to fund the acquisition of Halcon, but we also borrowed because we have a significant amount of incremental inventory in response to the supply chain disruptions that we have, so I hope that we will continue to see improvement in the supply chain disruption and that our operations team will be able to continue to pull inventory levels back to a more level, and if that happens and our earnings trajectory remains relatively consistent or better than what we did in the second quarter, then I think you’ll see that credit facility paid off by the end of the year.
Bud Bugatch: That’s the goal, is the end of the year? That’s kind of where I was going. Your metric, does that include the [indiscernible] impact, reducing net debt, is that--? Is [indiscernible] in that, yes?
David Sylvester: Actually, I wasn’t including [indiscernible]. Net debt would obviously be smaller.
Bud Bugatch: Okay. Finally from me, I’m sure the dividend issue was a major conversation for the board, so talk about the philosophy of what you think--you raised it because you thought things were going to get better faster, you brought it back down. What’s the issue now, or how does the board view that?
David Sylvester: Well, I think the board and the management team continues to operate under our longstanding capital policy of operating relatively conservatively with on-balance sheet liquidity to run the business, and we allocate earnings to paying a healthy dividend. With the depletion of our liquidity because of some of the acquisitions, some of the investments in inventory and other factors, it’s not where we would like, nor are our earnings projected to hit the high end of the targets that we communicated at the beginning of the year, so we felt it was appropriate to consider an adjustment. The board was on board with that and we reduced it back to the level that we were at, I don’t know, six quarters ago before we raised it to $0.145.
Bud Bugatch: Yes, okay. Well, again congratulations on managing the profitability aspect of it, and best wishes on the balance of this year and for the years after. Thank you. 
David Sylvester: Thanks Bud.
Sara Armbruster: Thanks Bud.
Operator: Again if you would like to ask a question, press star then the number one on your telephone keypad. Your next question comes from the line of Steven Ramsey. Your line is open. 
Steven Ramsey: Good morning. Wanted to start with the sales guidance being approximately $100 million or so lower than the backlog. You also said you would be shipping more beyond Q3. What are the drivers of later shipping dates at this point, and is there any light in the tunnel that this would change in the next few months?
David Sylvester: It’s mostly customers that are driving it. We had a large pull forward of orders in advance of the price increase and surcharge, and so we had backlog that’s scheduled out beyond 90 days. That has been the case for the last couple of quarters. I’d say it’s influenced by the number of price increases we’ve put in place, but also influenced by supply chain disruptions. Those are not getting worse but they’re not getting significantly better either, so we still have some extended lead times, not across all of our product categories of course, but in some cases we have extended lead times. But it’s mostly the customer requested delivery dates that’s driving the scheduling backlog. 
Steven Ramsey: Okay, and then on the sentiment being positive but orders declining, you talked about some pull forward effect driving the orders, but maybe can you weigh those out just a little bit more, the sentiment being positive yet orders coming down, and if you expect that to drive a reversal of better orders in the next couple of months?
David Sylvester: Well, I think the sentiment is tied to the customer visit activity, other presales activities being relatively good, and the fact that return to office continues to improve in almost every city around the U.S. and other parts of the world that have been lagging. I think everybody’s feeling okay or better, but the dark clouds on the horizon related to the economy have people concerned, and so it’s possible that that could be having some sort of impact on the order patterns right now, or it’s also possible that it just could be extended pull forward effect and things will get back to growing at a decent rate in the weeks and months, quarters to come. It’s so hard to tell right now. The uncertainty level is very high. 
Sara Armbruster: Maybe the other thing I’d add to that, which again is something we see that unfortunately we can’t really quantify for you, is that while there is tremendous presales activity and a lot of positive sentiment, there are certainly clients who are just starting to dip their toe in the water now, so for them activity means a pilot or a test or something on a smaller scale which won’t generate the same level of order volume that a full scale renovation or project would. But I think our hope certainly is that customers who are now becoming active and starting to pilot and test and try things, that those activities will be successful and those will lead to momentum within those clients to then move on from the pilots to proceeding to much larger scale projects or transformation of their space, so that may be another dynamic that is influencing what admittedly on the surface looks like a disconnect between the sentiment and the actual level of orders that we’re seeing right now. 
Steven Ramsey: Okay, helpful. Then last one from me on Smith System, clearly a major driver seasonally in Q2 and strong results again. Can you compare for Smith particularly the units, total sales and margins versus pre-pandemic levels, and then if you think longer term about capturing the full opportunity in the education vertical, is Smith enough to do that, or would you be open to acquiring to get bigger in the education vertical?
David Sylvester: I’ll stop short in providing a lot of detail on a specific business like Smith System, but I will tell you that relative to the value creation plans that we put together when we made that acquisition, they are tracking nicely. The other thing too that’s important to note is while they do have a very strong summer, an exceptionally strong summer period for obvious reasons - schools are closed and want classrooms to be renovated largely during that time period, that team has done a terrific job driving business in the other three quarters. It’s still overweight to the summer, but they do actually very nice business in the balance of the year. As far as your second question about is it enough, they continue to perform very, very well and they’ve made great decisions about being in the right position to support the growth that has been in the industry, so they’ve gained nice share. Whether or not we do another acquisition, I would say I wouldn’t rule it out, but I wouldn’t also declare that it’s absolutely necessary for us to continue to be successful.
Steven Ramsey: Okay, helpful. Thank you. 
Operator: There are no further questions at this time. Ms. Armbruster, I turn the call back over to you.
End of Q&A:
Sara Armbruster: Great, well I just want to thank you all for joining us today. We appreciate your interest in Steelcase and hope you have a great day.
Operator: This concludes today’s conference call. You may now disconnect.